Operator: Good day and welcome to Sensata Technologies Q3 2023 Earnings Call. [Operator Instructions] Please note, this event is being recorded. I now will turn the conference over to Mr. Jacob Sayer, VP Finance. Please go ahead, Sir.
Jacob Sayer: Thank you, Rocco and good morning, everyone. I'd like to welcome you to Sensata's third quarter 2023 earnings conference call. Joining me on today's call are Jeff Cote, Sensata's CEO and President; and Paul Vasington, Sensata's Chief Financial Officer, and Brian Roberts, Sensata's incoming Chief Financial Officer. In addition to the financial results press release we issued earlier today; we will be referencing a slide presentation during today's conference call. The PDF of this presentation can be downloaded from Sensata's Investor Relations website. This conference call is being recorded and we will post a replay webcast on our Investor Relations website shortly after the conclusion of today's call. As we begin, I'd like to reference Sensata's Safe Harbor statement on Slide two. During this conference call, we will make forward-looking statements regarding future events or the financial performance of the Company that involve risks and uncertainties. The Company's actual results may differ materially from the projections described in such statements. Factors that might cause such differences include but are not limited to, those discussed in our Forms 10-Q and 10-K as well as other subsequent filings with the SEC. We encourage you to review our GAAP financial statements in addition to today's presentation. Most of the information that we will discuss during today's call will relate to non-GAAP financial measures. Our GAAP and non-GAAP financials, including reconciliations are included in our earnings release and in the appendices of our presentation materials. The Company provides details of its segment operating income on Slides nine and 10 of the presentation, which are the primary measures management uses to evaluate the performance of the business. Jeff will begin today with highlights of our business results during the third quarter. He will then provide a few updates on new launches and exciting applications that we've discussed on prior calls, and then provide an update on our progress in electrification. Paul will cover our detailed financials for the third quarter, updates on capital deployment, and he will discuss our financial guidance for the fourth quarter of 2023. We'll then take your questions after our prepared remarks. Now, I'd like to turn the call over to Sensata's CEO and President, Jeff Cote.
Jeffrey Cote: Thank you. Thank you very much, Jacob, and welcome, everyone. I'm very pleased to introduce Brian Roberts. As announced this morning, Brian will be joining Sensata and taking over the CFO responsibilities after the filing of our Form 10-Q next week. Brian is a seasoned financial executive with extensive public and private Company executive experience. Brian most recently served as CEO of Tarveda Therapeutics, rising to the President and CEO spot from the CFO role. Brian previously served as a public Company CFO at both Insulet and Digitas. He also brings significant public board experience, including eight years serving as Audit Committee Chair at ViewRay, Inc. The depth of his experience is described in the press release we issued this morning. We welcome Brian to Sensata and look forward to working with him. I'd like to thank Paul for his nearly 10 years of service to Sensata and wish him well in his upcoming retirement. Paul has been instrumental in guiding Sensata through a significant strategic shift and navigating through the pandemic. We appreciate that Paul will be continuing as an adviser to me and Brian for the next several months to ensure a smooth transition of this very important role. Now, I'm going to move to some summary thoughts on our performance during the third quarter, as outlined on Slide three. During the third quarter, we produced $1.1 billion revenue, down 1.7% from the prior year period and in-line with our guidance range. Market growth for the last 12 months remained within our target range at approximately 460 basis points and 660 basis points over the past three years. Strong recent business wins, new product development activities and the upcoming launch schedules gives us confidence that our revenue growth will accelerate in the coming years. Adjusted operating income was $192 million or 19.1%, down 30 basis points compared to prior year on a reported basis and up 90 basis points on a constant currency basis. Adjusted net income moved higher by 5.5% to $138 million, and adjusted earnings per share grew 7% on a reported basis and 16.5% on a constant currency basis to $0.91 from the prior year period. During the quarter, we took a $21 million charge for our recently announced restructuring program. This program is expected to generate $40 million to $50 million in savings in 2024. As we continue to focus our strategy on Electrification, harvest the investments of the past few years and actively manage our cost structure, we expect to see the benefit drop to the bottom-line. At the beginning of 2023, we shared with investors a shift in our capital deployment strategy, based upon our confidence in our capabilities to effectively intersect the Electrification growth vector and deliver innovative solutions to our customers without the need for significant new acquisitions. We continue to execute that strategy during the third quarter, returning capital to shareholders through our dividend and share repurchases. Our capital allocation strategy reduces risk in our capital structure, lowers interest expense and improves adjusted net income and earnings per share as well as return on invested capital. Paul will detail this information shortly. On Slide four, I want to provide an update on two exciting applications that we've mentioned in the past earnings calls. Recent government regulations implemented to reduce greenhouse gases and improve the environment require HVAC manufacturers to switch to new coolants with lower global warming impact known as A2L or A3 refrigerants. Sensata has leveraged its leadership position in HVAC pressure sensing to create a new category of gas detection sensors that detect refrigerant leaks. Since we announced this application this past spring, we have already secured new business totaling $55 million in annual revenue from customers for sensors that we'll be launching later this quarter. Sensata was the first supplier to be awarded UL certification for our solution, which provides a critical benefit to customers in Catapult Sensata into a leadership position in this very fast-growing sensor category with a $500 million addressable market expected in the next five years. Another exciting area is electromechanical breaking. During the third quarter, we were awarded a large win with a second major brake system provider to support a leading global EV manufacturer. We are already a leader in brake pressure sensors, and these new wins secure a total of $30 million in future annual revenue as well as our leadership position in four sensors for the next generation of braking solutions used on electric vehicles. Sensata is focused on continually innovating to help customers solve their mission-critical, hard-to-do engineering challenges on their path toward Electrification. As shown on Slide 5, I'd like to share some thoughts on how we intend to reach our revenue goals within automotive electrification. We expect the combination of rapid EV adoption and the increased content on electrified vehicles to drive more than $1.2 billion in automotive electrification revenue for Sensata by 2026, up from approximately $380 million this year. Approximately 90% of this total is already booked either through expected market growth as forecasted by IHS or incremental business wins already awarded. Our progress in North America is being realized, where we currently have approximately 1.5x the revenue per vehicle on an EV compared to an ICE platform. China and Europe remain as opportunities for us. In China, we currently have approximately 1.25 the revenue per vehicle on a local OEM EV compared to ICE platform. However, the revenue per vehicle on the local OEM EV is about half that of a multinational ICE sold into that market. Therefore, in share shifts to local OEMs from multinationals, Sensata will experience a head-wind. This share appears to have stabilized at around 55% for local OEMs, and we will continue to monitor this closely. We have been increasing our pace of new business wins with local OEMs across many product categories, including the development of country-specific contactors, through our joint venture with Churod. In Europe, we currently have approximately half the revenue per vehicle on EVs compared to the same ICE platforms. This will improve as one opportunities launch, and we continue to win new EV-specific opportunities in Europe. Sensata has established strong customer relationships across the e-mobility market. We supply almost every major automotive OEM and tier across the globe. We have also developed strong relationships with the emerging automakers. As we have shared, we think about the opportunity around Electrification holistically. The opportunity does not stop with components to enable electrified equipment. It also covers the infrastructure needed to power all this equipment. In renewable power generation, energy developers and others are poised to benefit from global initiatives to decarbonize sources of energy, including last year's Inflation Reduction Act in the United States, which provides significant long-term funding to this industry. By addressing key needs for this important industry, Sensata revenues from its inverters, converters and rectifiers are growing rapidly and in-line with the investment case we laid out when we acquired Dyna Power in mid-2022. Revenue in this area is growing by more than 30% per year. We are confident in this continued growth given accelerated business bookings related to new projects, such as missile defense systems provided by General Dynamics, hydrogen separation and storage at sites being developed by Plug Power and renewable energy materials development from Freeport-McMoRan, for example. Year-to-date, new business bookings in this area have been strong with a book-to-bill ratio of 1.2 and improving. We remain bullish regarding our opportunities in this sector. Now I'd like to turn the call over to Paul.
Paul Vasington: Thank you, Jeff. Key highlights for the third quarter, as shown on Slide eight include revenue of $1.1 billion, a decrease of 1.7% from the third quarter of 2022. Adjusted operating income was $192 million, a decrease of 2.9% compared to the third quarter of 2022, primarily due to un-favorable movements and for currency, partially offset by pricing and productivity improvements. Adjusted operating margins improved 90 basis points from the prior year period on a constant currency basis due to operational improvements within the business. Adjusted earnings per share of $0.91 in the third quarter grew 7% from the prior year quarter driven by our focus on cash-flow, debt reduction and return on capital to shareholders. On a constant currency basis, adjusted earnings per share would have been $0.99, representing 16.5% growth from the prior year period. Now, I'd like to comment on the results of our two business segments in the third quarter of 2023, starting with Performance Sensing on Slide 9. Our Performance Sensing business reported revenues of $754 million, an increase of 2% compared to the same quarter last year. Automotive revenue increased due to content launches and higher pricing, partially offset by un-favorable revenue mix in foreign currency. A decline in heavy vehicle off-road revenue reflects market contraction and un-favorable foreign currency, partially offset by content launches. Performance Sensing operating income was $186 million, with operating margins of 24.7%. Segment operating margins increased year-over-year largely due to higher pricing, volume and productivity, partially offset by un-favorable foreign currency. Excluding the foreign currency impact, Performance Sensing operating margin would have been 25.8%. As shown on Slide 10, Sensing Solutions reported revenues of $247.3 million in the third quarter, a decrease of 11.3% as compared to the same quarter last year. Industrial revenue decreased due to weaker markets, especially in HVAC, appliance and IT Mobile, industry destocking and un-favorable foreign currency. Aerospace revenue increased strongly in the quarter due to market pricing and content growth. Sensing Solutions operating income was $71.3 million with operating margins of 28.8%. Segment operating margin was flat, primarily due to the decrease in industrial revenue and un-favorable foreign currency, offset by the growth in aerospace. Excluding the foreign currency impact, Sensing Solutions' operating margin would have been 29%. On Slide 11, Corporate and Other operating expenses not included in segment operating income were $75.1 million in the third quarter of 2023. Adjusted for charges excluded from our non-GAAP results, corporate and other costs were $64.2 million, a slight increase from the prior year quarter, primarily reflecting higher employee costs. During the quarter, we announced the structuring plan to better align our cost base with a weaker market environment we are seeing to narrow our areas of investment to focus on Electrification and to accelerate our margin recovery. We recorded a charge of $21 million in the third quarter in relation to this restructuring program. We expect savings of $4 million to $6 million in Q4 as part of our guide and savings of $40 million to $50 million in 2024. These actions are designed to help the Company reach its stated goal of 20% to 21% adjusted operating margins in 2024. Moving to Slide 12, the capital deployment strategy we shared at the beginning of 2023 is already providing steady returns to shareholders as underscored by our improving return on invested capital of 9.8%, up 50 basis points from the end of 2022. We generated $87 million in free cash-flow during the third quarter, up substantially from the prior year period and $401 million in free cash-flow over the last 12 months, representing 70% conversion of adjusted net income. We are targeting free cash-flow conversion to be approximately 75% to 80% of adjusted net income by 2026, above Sensata's long-term average, reflecting improvements in working capital. Capital expenditures are expected to remain in the range of $170 million to $180 million for 2023. Our net leverage ratio was 3.1x at the end of September 2023, and we expect this metric to continue to decrease to a level below 2x by the end of 2026, primarily through strong free cash-flow generation. We also intend to repay the notes maturing late next year from cash on hand. During the quarter, we returned $35 million to shareholders in the form of share repurchases. In addition, we briefly announced that we reset our share repurchase authorization to $500 million as well as our Q4 quarterly dividend of $0.12 per share is expected to be paid on November 22 to shareholders of record on November 8. We are updating our financial guidance for the fourth quarter of 2023, as shown on Slide 13 to reflect the latest IHS automotive production estimates given UAW strike activity. This impact is expected to be temporary. Our expectations are based upon the end market growth outlook shown on the right side of the page. We are aligned with IHS estimates for automotive production on a Sensata revenue-weighted basis. While clearly, UAW has reached tentative agreements with the D3, which now needs to be ratified by membership, the ultimate outcome in process to restart production remains somewhat uncertain. Based on IHS production estimates, we estimate the impact on Sensata's revenue is $35 million to $40 million this quarter with a 60 basis point impact to adjusted operating margin. Foreign exchange represents an expected $11 million headwind to revenue, a 60 basis point headwind to adjusted operating margin and a $0.09 headwind to adjusted EPS in the fourth quarter. Excluding the impact of foreign currency, adjusted operating income margin expectations for the fourth quarter represent a 50 basis point decline from the prior year period, largely driven by the UAW strike. Our current fill rate is approximately 91% of the revenue guidance midpoint for the fourth quarter. Slide 14, contains a view of the implied full year 2023 outlook based on actual date in the fourth quarter guidance, a few notable observations. Organically, adjusted operating margin is expected to increase 100 basis points during the year and 80 basis points on a constant currency basis. Adjusted net income and earnings per share are benefiting from our capital deployment strategy of reducing leverage and buying back stock opportunistically. We now expect foreign exchange to be a $58 million headwind to revenue for the full year and a $0.26 headwind to adjusted earnings per share given current exchange rates. I want to recognize the senior leadership team at Sensata for their support over the nearly 10 years I've served as CFO. I also appreciate the insights and support I received from so many in the investment community. I look forward to passing the baton to Brian to ensure a smooth transition. Now I'd like to turn the call back over to Jeff for closing comments.
Jeffrey Cote: Thanks very much, Paul. And let me wrap up with a few key messages as shown on Slide 15. A replay of our Investor event from late September is available on our Investor Relations website, and I encourage you to watch it if you have not done so already. During the event, we laid out the reasons why we believe Sensata represents a compelling investment opportunity. We have a 100-year plus history of innovation and deep customer relationships. The core of our business, whose success has been driven by trends in safety and efficiency, is vital, innovative and very profitable. We are addressing an unprecedented opportunity in Electrification, supported by record new business wins and we remain on track to achieve our goal of $2 billion in Electrification revenue by 2026. Together, this is expected to drive our long-term financial performance for the benefit of our stakeholders. We are committed as a management team to continue to focus our strategy in Electrification and prioritize our investments to enable us to monetize the opportunities we have invested in to enable growth and drive higher margins. I'd now like to turn the call back to Jacob.
Jacob Sayer: Thank you, Jeff. We'll now move to Q&A. Rocco, would you please introduce the first question.
Operator: Absolutely. [Operator Instructions] Today's first question comes from Mark Delaney with Goldman Sachs. Please go ahead.
Mark Delaney: Good morning. Thanks very much for taking the question. Paul, let me take you for all of your help over the years. And Brian, wishing you best of luck in your new role.
Paul Vasington: Thanks, Mark.
Mark Delaney: Jeff, I was hoping to dig a little bit deeper into the Electrification target for 2026. You reiterated the $2 billion target even since your Investor Day in September, some of the major auto OEMs have talked about slowing down their EV ramp rate. So maybe help us better understand what you're seeing and what's giving you the confidence to reiterate the $2 billion target just in the volatility and wrap plans that we announced here pretty recently.
Jeffrey Cote: Yes, absolutely, Mark. So just to set the context, we set that goal back in April of 2020 when we did Electrification teach-in. At the time, it was a little bit of an ambitious goal, but we saw the line of sight, the accelerated trend of new business wins and engagement we were experiencing with our customers. And at that point in time, over the last -- the three years prior to that, we had seen trends toward greater EV penetration right now. So that moves around, it ebbs and flows a little bit. But based upon the engagement with customers, the NBO wins we've seen third regarding EV penetration, we feel very comfortable with the $1.2 billion of revenue in automotive. The balance of that will come from HVOR and the Industrial business. And again, 90% of that auto target is booked at this point. Now, to answer your very specific question regarding customers' view on EV penetration, we're clearly seeing an accelerated trend associated with Electrification, right? So back in 2020, 3% of North America was electric. In 2020, it's expected to be 11%. In Europe, back in '20, it was 4%. In '23, it's expected to be 17% and in China, 6% new energy vehicle penetration in '20. And in 2023, it's expected to be 36%. So there may be puts and takes in terms of estimates based upon customer take rate, but it's very clear that the technology exists, there is demand for these vehicles. The infrastructure is being built. And so we're preparing for that. The last comment I would make on this is that we -- clearly, we've invested in this trend toward electrification. But to the extent it slows. We have a very strong core business, we'll continue to prosper. And in fact, if OEMs slow down their EV penetration, they have to meet greenhouse gas emissions reductions in other ways, which would benefit Sensata. So the slowing does not worry us. It's also in a category of our business, which today enjoys much higher margins. So to the extent that slows, it will be good for Sensata either way. It might be a little bit slower top line growth going forward, but more achievable and more certain bottom line growth in terms of the overall Company. So we're prepared for both. I think that there will be ebbs and flows on individual customer forecast associated with it, but we believe in this as being a long-term trend in the industry.
Operator: Our next question today comes from Wamsi Mohan with Bank of America. Please go ahead.
Wamsi Mohan: Yes, thank you so much. And I'd echo Mark's comments on both Brian and Paul. If I could, Jeff, maybe on the UAW impact being transitory, can you flesh that out a little bit in terms of how that's going to work into calendar Q1? Did you see any inventory or are you expecting inventory build up into Q4 and your guide is net of that? Or is there no real inventory build-up and you should see about seasonal trends heading into Q1? And if I could, on the incremental restructuring, it seems like that's going to drive about 100 basis points of operating margin upside. If auto volumes were to go down, can you still get to 20% to 21% operating margin in 2024? Just trying to calibrate what kind of revenue estimate you would need to get to that 20% to 21% operating margin?
Jeffrey Cote: Great. Wamsi, why don't I address the UAW piece of it and then maybe Paul can address the margin question given restrain volumes and so forth. So as we had anticipated, the UAW strike did not have any meaningful impact on the third quarter. We landed essentially where we thought we were going to land. We knew it was going to be a fourth quarter issue. At the time of our Investor Day, we used IHS estimates in terms of the impact associated with the strike to develop our guide for $1 billion. We also look to what we had indicated as more normalized seasonal patterns in the business, which from Q3 to Q4 typically would be flat or maybe up a percentage point or so. So we use those data points to help us figure out where we needed to be. Obviously, things have changed, and they've been very dynamic over the last several years. Based on IHS forecast of production, we believe that there's about a $40 million fourth quarter impact, very specific to the D3 based upon production schedules that aligns pretty tightly to what our order patterns have been from those customers. Recall that the D3 entered the fourth quarter or exited the third -- September 30 vehicle lot, numbers were back to the 60% range on average, some were a little bit higher than others, but I think that we're preparing the vehicle lot inventory to deal with the potential issues associated with the strike going into that. So I would expect that, that might be down a little bit and will present an opportunity for us. So the start-up, the restart up, I think, will be different by individual customer, but we're there to work with them. We've had calls with all of those customers regarding what that start-up will look like and making sure that we can be there to deliver the parts when they need them. And at this point, my sense would be it will be a little choppy in the fourth quarter, but it looks as though -- as we go into the first quarter, things will normalize. One more comment that I would make on impact of UAW as I commented on a $40 million revenue impact in the fourth quarter associated with the UAW strike. That obviously falls through a pretty significant de-cremental margins. So it's a 60 basis point impact, given that we know we felt strongly. That it was temporary, so we did not adjust cost structure for that decline in revenue because we wanted to make sure that our teams in our sights were prepared to be able to respond when it ended, and that's turning out to be a good thing in terms of the preparedness on our side, but it does have a negative impact on fourth quarter margins to the tune of 60 basis points. So Paul, do you want to?
Paul Vasington: So quickly, Wamzi, going back to Investor Day and the three-year growth model on the top line, the revenue profile that we had in the model there was more back-end loaded, just given the launches of Electrification, and most of the growth in the model is around Electrification and given the long signature of the business. The back end period of that three -year period is where the growth is higher. So we were expecting lower growth in 2024. We're obviously give you more specifics when we guide in the beginning of 2024. The restructuring was done to strengthen our cost position and our margin recovery plan. And so that drives a lot of the improvement year-over-year in margin. So we're not relying on volume to solve the problem of improving margins. We're going to focus on cost control, focusing our investment dollars in the area of Electrification. We're having a great success. And so revenue will contribute, but it's not what we're relying on to deliver the margin improvement.
Operator: And our next question today comes from Samik Chatterjee with JPMorgan.
Samik Chatterjee: Hi, thank you for taking my question. Paul, congrats. Brian, best of luck. On the outgrowth to the market, if I look at the last 12 months number at 460 basis points and last quarter, I think the last 12-month number was around 535. So that's been moderating here. I'm just curious when you sort of piece out the drivers there, wide the outgrowth to the market is moderating. How much of that is the share shift in relation to China automotive market versus maybe lapping some of the pricing that you had taken, which was probably helping our performance? If you can piece out sort of what the drivers are and why that's moderating. That will be helpful. And a quick one for Paul. Paul, FX is always tough to model for you guys. Can you just give us some guidance for you based on where or how should we think about FX?
Jeffrey Cote: Yes. So let me hit on the growth and we're broadly the secular growth story that you're commenting on and the impact to that and then Paul can touch on the other topic. So if you look at the full year 2023, on a reported basis, the Company will be about flat on revenue. On a constant currency basis, we'll be up 1.5%. While the global markets that we serve are down about one, so there is a secular growth story. We are growing faster than markets. When you break that down, Automotive is up about two, heavy vehicle is up about 1%, Aerospace is up 28%, and the Industrial market is down 9%. So the big impact in terms of 2023 is really the bit industrial business in terms of that being down 9%. When you look at the auto market specifically because that tends to be the market that we talk about when we talk about secular growth. But the reality is there's secular growth in all of the markets that we serve. If you look at the IHS forecast for the full year right now, it's about 3% auto growth. We're at 1.5% when you consider constant currency, we're it for. So we are growing faster than the production growth rate as forecasted by IHS. There are a lot of moving parts in here, okay? But I think part of the challenge is we get into all of the details on it, which are many, but they are really -- there are two structural things that are impacting outgrowth to market in auto and there are two temporary things. The structural items are the shift in China from multinational local. That's a significant impact to Sensata, right? Now that five percentage point share shift occurred during 2023. But as I had mentioned in my prepared comments, we believe that stabilized now, but we will watch that very closely. And the way that we will address it is by accelerating our new business opportunities with the local OEMs, not only on internal combustion engines, but on the EV platforms. And we're making progress on that, with 35% of their production during '23 being EVs and us being higher revenue per vehicle on EVs, that demonstrates the progress that we're making there. But in order to become more equivalent, multinational and local, we've got a lot of work to do. But that is our strategic focus. The second is the EV shift in Europe. So if you -- and again, in my prepared comments, I talked about the fact that because we were behind on the original sourcing associated with launches in Europe around EVs, we're about half of content or the half the revenue per vehicle in Europe on EVs versus internal combustion. We've got a number of wins that we've had that will materialize over the next several years that will address that issue, and we're not done. We are continuing to work with those customers to get more revenue per vehicle on the EV platforms as that take rate accelerates. So those are the two structural, very strategic issues. There's a lot of other noise in the system associated with things that are going on, but those are the two things that are having the biggest impact in terms of structural. The two more transitory or temporary items are the launch delays that we've talked about. So there's a significant amount of launch delays that have happened during 2023 that we were counting on our revenue that would have changed that out growth rate. And again, we're working with customers around creating more certainty around those to make sure that they and we are ready to launch when we've intended. And the second is around the D3 impact in the fourth quarter. So we have more revenue per vehicle with the D3. When that revenue goes down, it creates a mix problem for us. But those last two items will fix themselves with more engagement with our customers and the resolution on the UAW strike. So the other two, we'll keep you posted on it. We've got to make sure that we continue to drive the strategy to address those issues. Hopefully, that gives you more color on that.
Paul Vasington: And on the FX, I mean, FX will continue to be a headwind next year. I would estimate somewhere around 50 basis points impact to operating income and operating come margin. We do line with what we -- what we shared on Investor Day, just given, and that's based on the current base. So how we exit the year stayed the same. That's what I would expect.
Operator: And our next question comes from Amit Daryanani with Evercore. Please go ahead.
Amit Daryanani: Good morning. Thanks for taking my question. I just have two as well. First, on the auto, on your December quarter expectations for automotive revenues to be down 10%. Can you just talk about how do you think that stacks up across the various geographies for you? And then any initial sense of what calendar '24 production could look like across the key geos?
Jeffrey Cote: Yes. So on -- again, I spoke to the auto production versus what our market rate was for the full year. If I remember correctly, in the first quarter, we were growing faster than the market that the IHS market. In the second quarter, we were behind. Third quarter, we were about equivalent and then fourth quarter, we are behind. So -- and that's due to primarily the mix associated with D3. So the expected drop in production on D3 has a revenue impact to us, that's causing our adjusted market in auto. But across the year, Amit, we're pretty much on top of the IHS forecast. So mix will move around based upon OEMs that produce cars and the platforms that are produced, but across the market, across the year, it's pretty -- it seems to be pretty stable.
Jacob Sayer: And to clear up in case there's any confusion, Amit, the numbers that are on that slide are meant to be market growth numbers, not our revenue growth. Obviously, they are weighted for our revenue across OEMs and geographies. They line up the auto number at least it lines up with the IHS forecast for production.
Amit Daryanani: Got it. And then Jeff, if I just go back to the discussion you had around the impact from the UAW and I totally understand what you have an outsized impact on your operating profit line in the December quarter. Is it fair to think that, that should reverse back, i.e., the incremental margins should be much stronger as those revenues potentially come back in the first half of the year?
Jeffrey Cote: Yes, definitely. So as that revenue comes back, it will absorb the overhead we have associated with that, and we would expect the incrementals to come back just like they would go down in the fourth quarter. So without -- we're guiding to around 19%, midpoint of guidance on operating income. We'd be at or slightly above what we had originally guided, if not for the UAW strike. So yes, we're focused on making sure we show continued progress toward our operating income index target.
Operator: And our next question comes from Steven Fox at Fox Advisors. Please go ahead.
Steven Fox: Hi. Good morning. I had two questions as well. First of all, with regard to sort of the EV supply chain. There also seems to be concerned, especially on the semiconductor front with the level of inventories that some of the OEMs were sitting on as EV demand has kind of slowed a little bit here. Can you talk about how you inventory OEMs and how you think maybe your inventories sit there? And then I had a follow-up.
Jeffrey Cote: Yes. So let me address it on our supply side and then on how we deal with the demand from our customer side. So I'm hesitant to claim the end of supply chain challenges. It's been a very challenging couple of years, but clearly, things have abated considerably in terms of the overall availability of parts. That's not a universal message because I think when you talk about electronics, there are certain types of electronics that are still scarce and short on supply versus other, but generally, we're in a much better place and we feel as though the inflationary pressures that were driven by that supply-demand dynamics are starting to balance out a little bit. So that's on the supply side. On the customer side, as we've talked about, we're -- we make to the order, right? We're a just-in-time inventory model. There was a point in time when customers would quite literally take anything that we could produce to make sure that they had parts available to them. We feel as though that's reversed pretty dramatically due to changes in the market, but also because we feel as though we've been there for customers. So we have a proven track record of being able to deliver when they say they need it. So, we -- I think we had estimated it's very difficult to estimate, but I think we had estimated there's still maybe $15 million to $20 million of inventory. Our parts in warehouses or in partially completed vehicles, but it's not a meaningful number anymore in terms of the long-cycle OEM market, where we have more visibility, given the just-in-time inventory modeling that our customers have. On the Industrial side, more short-cycle business, it's much harder to get a really good bead on that. And clearly, some of the decline that we've experienced during 2023 in that market is not only market but destocking that's happening, but that will have a positive impact when restocking does occur. It's been a tough year for that market. But specific to EVs, we don't see customers cutting orders because they have components specific to our -- their EV production with Sensata, I think that we've stabilized in terms of shipping the parts they need to make the product for their customers.
Steven Fox: That's really helpful. And that leads me into my second question, which was on industrial markets. It seems like these markets are getting worse, but everyone defines industrial differently across the supply chain. So can you sort of talk about off of these year-over-year declines that you're seeing, like what is sort of a path to recovery or whether we're not even in the recovery phase yet?
Jeffrey Cote: Yes. So we do a lot of modeling. We have a long history in these markets that we serve to understand based on PMI metrics and other third-party metrics to the demand for our product globally across the individual regions. Clearly, 19%, that's accelerated from where it was in the third quarter. So I'm not claiming that the bottom has been achieved on that. But it will hit at some point. My hope would be that the fourth quarter would be the bottom of that and then going into 2024, we'd start to see that recover. From a revenue basis standpoint, our Industrial business is pretty flat. Q3 to Q4. So from a sequential standpoint, it looks like it's stabilized, and then we'll start to see a recovery on that. Last point I'd make there might be the obvious, but that's a very hard margin business for us relative to our auto and HVOR business. So when that comes back, that will create some leverage in terms of incremental margin for the Company as well.
Operator: And our next question comes from Luke Junk with Baird. Please go ahead.
Luke Junk: Good morning. Thanks for taking questions, and Paul best wishes, in your retirement as well. Jeff, bigger picture, you cited an increased pace of new business wins with local OEMs in China, including country-specific contactors. I was just hoping you can expand on the increased traction that you're seeing there, specifically, I guess, within contactors, especially -- and what -- as we look out a few years from now, what a reasonable target might be for local EV content versus what your historical content has been with the multinationals on ICE platforms in China?
Jeffrey Cote: So some of you may remember that 2022 -- no, it was '21, late '21, we entered into the JV right? Because what we had observed was that the vast majority of the vehicles in China, the electric vehicles in China that would be produced were lower voltage. So let me quantify under 400-volt systems whereas a lot of the newer systems in Europe and North America are above 400 volt. We didn't -- we had not invested in it. We didn't have a great solution at the below 400-volt partnered with our -- this this JV with Gerard, we've seen accelerated progress there around specifically contactors. Now, we've made some progress on that as evidenced by the fact that when you look at a local maker, a local OEM, we have 1.25x the revenue per vehicle on an electric vehicle versus on a combustion end, but a lot more work to do to get that to the equivalent in the United States. But progress being made. It's not only going to be contactors, right? So there are other applications that we're serving that are EV specific. As you know, around breaking, around tire pressure around environmental control that opportunities for us. Good progress there. Our goal, as we've talked about, have doubled the EV content by 2026 on a global basis. When you look across the globe by 2026, based upon where we are today, North America will be above that 2x. China will be approaching the 2x. And then Europe, I think, will be the one that will be not far behind, but we'll be accelerating to get there to create the average of 2x across the Company. So continued progress, more to come in terms of specific MBO wins in that area.
Luke Junk: And just a follow-up in the near term, if I look back to compared in the business in 2019, I think you said about $10 million in lost revenue in North America. Just hoping you could bridge that to the $40 million or so you're expecting this year, just trying to see if there is something in terms of what's going on in the channel or just generally how this strike is different from the Sensata's point, given unit impacts aren't as meaningfully differently?
Jacob Sayer: You're trying to reference back to the prior the UAW struck in 2021? Is that the question, Luke?
Luke Junk: Yes. The 2019 strike, you had cited about $10 million in lost revenue China that average $35 million to $40 million right now, given that the number of units are pretty similar, Yes.
Jeffrey Cote: Yes. So listen, I mean we're -- in our $40 million impact, we're looking at what IHS says ultimately the impact will be. As I mentioned, that ties pretty closely what the order rates are and where we are in a fill rate. I think we're 90%, 91% filled against the forecasting we have. That's pretty typical and that too is normalizing. So I feel as though it's a pretty good estimate. I think that how -- I mean, I think the union has dealt with this one under Shawn Fain's leadership has been anything consistent with the past. And so we're falling based upon the production rates. The fact that they have 10 agreements, obviously very positive. But we'll watch closely the start-up to see whether or not we have that full $40 million impact or how that transitions as we go throughout the year. So -- but yes, that's the math on the production rates, which is about -- remember, we had talked about $7 million to $8 million per week if everything is shut down. So we're at the point where it's a little less than half the full quarter impact if everything had been shut down for the full quarter.
Operator: Our next question today comes from William Stein with Truist. Please go ahead.
William Stein: Great. Thanks for taking my questions. Thanks specifically to Paul. It's been great working with you over the last few years. And I have a question for Brian.
Paul Vasington: Thank you, William.
William Stein: Yes. I do have a question for Brian. I'm wondering if you can share with us any initial thoughts you have on the Company and specifically what you think your priorities are likely to be in the near and longer term?
Brian Roberts: So I'm about an hour and a half in, so a little bit more time to be able to truly digest. But I guess I would say what brought me to Sensata. I'm certainly very excited about the core business and the Electrification trend that exists. Watching the Investor Day back in September, certainly thinking that those targets that were laid out are achievable and really, Paul has developed a great team and there's a great management team here that I get to work with. More to come over the coming months, but I'm excited to be here.
William Stein: Great. And I think this question was just asked, perhaps in a slightly different way, but I'm hoping Jeff, perhaps you can discuss the variability of your position across the local China EV compass. It's one thing about 1.2x the content of a local ICE, but where we, as investors, can often get into trouble is you quote statistics and they may be very correct relative to where you have design wins, but there is an issue relative to the breadth sometimes, where maybe you're not making an explicit bet but where you wind up getting bigger content wins, those OEMs might not achieve the same growth or the growth they aspire to and others where you don't have as much print position might wind up ramping. And so I'm hoping you can address the variability from OEM to OEM in China. Maybe what percentage of them you're working with? And how that 1.25x content varies from OEM to OEM?
Jeffrey Cote: Yes. So you're absolutely right that the mix of the business matters and engaging with the winners matters. And that's candidly never been more challenging given the disruption that is occurring in the automotive market. And so from an EV specific standpoint, it's very clear right now, that the two global leaders are Tesla and BYD. We're very well positioned with Tesla for very broadly. And they're above our average net revenue per vehicle. So that's a very good thing. BYD, I feel as though we're very well positioned also, but the challenge with BYD is they are vertically integrated from an Electrification-specific component standpoint. We're working with them very closely. To your broader question regarding China OEMs, we've cast that very wide in terms of who we're working with. I think clearly, we could say the top five local Chinese OEMs, we have good relationships with, but there are a lot of Chinese OEMs. So I can't definitively say that we're working with all of them, but I feel as though we're well positioned with the ones that are gaining market share. And the big question that we're grappling with as it relates specifically to China, is when will that consolidation happen and where will the consolidation happen. And so I personally don't think that's going to happen anytime soon. But the evidence of who the winners will be not only in the Chinese market, but potentially in the global market is starting to develop in terms of share that's being accumulated. And that's where we're focused. As we continue to focus the strategy and make sure that we're working with the folks that we know will be the winners, that's where we're making sure that we continue to win with the players that have experience behind them that demonstrates that. To the specific point of the 1.2x, that's year-to-date in 2023, when you look at collectively all of our revenue with local Chinese makers and you split that between combustion engine platforms and EV platforms, that's the mix. When you look at the content or the revenue per vehicle on ICE, it's about 20% and you look at the the EV makers, it's 1.25x that. But we will continue to monitor it and our goal would be to make sure we accelerate that, given 35% of the vehicles produced in China this year are going to be new energy vehicles.
Operator: And our next question comes from Shreyas Patil with Wolf Research.
Shreyas Patil: Thanks, Paul, for all the help over the years. Maybe coming back to the EV targets. So you've talked about strong on North American OEMs. But the ones we are -- but they are the ones where we are seeing planned push-outs and where prior expectations appear to be evolving are really the biggest with the North American automakers. For example, GM previously talked about adding 600,000 units of EV large truck capacity by next year and the entire industry should have been targeting something like 1.5 million units in that area by 2026. The entire market for large trucks is about 2.7 million. So it does appear that there could be changes to those expectations. I guess what I'm asking is if that were to happen, would that create an outsized headwind to Sensata?
Jeffrey Cote: Yes. So the point is taken. I really watching closely to understand what their forecasts look like as we continue to progress forward, right? There's some outside dynamics that are causing some of the changes in their estimates right now in terms of negotiation with the UAW and other things. Certainly, consumer demand for electric vehicles, specifically as it relates to the truck market, causing our customers to think about that. But I'll go back to the comments I had made earlier, which is clearly, if EV penetration in the North American market, which is where we have the greatest revenue per vehicle slows, that will be -- that will create a challenge in terms of achieving the $1.2 billion of revenue. But the OEMs will need to do other things on those combustion engines to get to the emissions requirements over the next three, five years. And we're well suited to go after that, right? So they had stalled and paused all of their combustion engine development. If they change direction, they'll need to restart some of those, and that will represent opportunity for us and on an accelerated basis to make sure that we're addressing those issues. And as I've also mentioned, there's an area where we have demonstrated margin profile that's superior to the electric vehicle component here. Now we have a road map on the electric vehicle-specific components to get to Company margins, but there's a lot of work that we need to do to get there. So there's a put and take. The delay or slowing of it will maybe have a little bit of impact on revenue, but it will have a positive bottom line impact. Hopefully, that addresses your concerns.
Shreyas Patil: Okay. Great. And just one last quick one. I mean anything that you're seeing on the Tier two supply chain, especially as the industry is starting to ramp back up following the UAW strike, how confident are you that you can -- that the Tier two supply base can ramp up as well?
Jeffrey Cote: Yes. So all of our OEM customers have been very -- they've communicated a lot with us and with all of their suppliers regarding readiness. I can't speak to what others have done in terms of making sure they're idling ready to go when that demand comes back. But I can tell you that we're ready to go. And if some Tiers message not from a lack of communication on the part of their customers regarding being ready for their response. So -- and I would also mention where we are directed by or where we serve those tiers, we're having open dialogue with them as well. So we feel as though this -- although we'll the restart will have some bumps associated with that though it's been well planned, where we're able to restart pretty effectively.
Operator: And our next question comes from Joe Giordano with TD Cowen. Please go ahead.
Joseph Giordano: Hey, guys. Good morning. I'm juggling a bunch of calls, so apologies if this was asked. I'm just curious on the guide, right? So like in Investor Day, can you just talk about the thought process and kind of going out of your way and giving a 4Q guide when there was already kind of like an uncertain market right now. And then it almost compounds having to cut it here. So what was the thought process kind of going into that event as to why you feel compelled to put it up then when there was still like the strike going on?
Paul Vasington: Well, we obviously feel good about Q3, which we deliver. And so -- and we felt we should give expectations on Q4, which we had pretty good confidence at the time based on our fill. And we obviously put out a three-year guide that would be underpinned based on our 2023 estimate. So it all made sense to put that out. We were clear that our guide for Q4 was based on IHS estimates at the time, which had about $15 million of either lower production because of the strike or that they had built inventory that they would consume and we felt that was a prudent assumption to use, which underpins the guide. And now we're seeing the strike go on longer. And we're using IHS' current estimate, which gives us about a $40 million -- $35 million to $40 million round of impact. So we're using the third party as a way of developing the guide, and we're updating it based on new information. I think that's appropriate, and I felt it helped integrate performance in Q3 with the full year '23 and then our 3-year expectation that we provided. So I think it was the right thing to do. And I think what's driving our lower guide is, in fact, the UAW activity and how it's progressing. No one's going to be able to know the number, right? I mean whatever we put out there, it's a best estimate based on the best estimators out there and buy that. But when it's the end of the quarter, we'll know for sure. But we feel confident that this is the best estimate that we can put out there for Q4 at this time.
Operator: And our next question today comes from Matt Sheerin at Stifel. Please go ahead.
Matthew Sheerin: Yes, thanks, and good morning. Jeff, I'm hoping you can give us more color on what you're seeing in the HVOR market, and that was down sequentially and year-over-year for you. And I know that market has been weak, but you've also been talking about in recent quarters about continued market outgrowth. So could you share us what you're seeing in terms of outlook from customers and by region? And are you expecting it to recover any time next year?
Jeffrey Cote: Yes. So in the third quarter, the market was up a little bit, call it, 2% third quarter versus third quarter of last year. When you look at what we're guiding to, it's down 1% or 2% versus the fourth quarter of last year. And then on a sequential basis, it's a decline, but it's a typical seasonal decline third to fourth quarter in the HVOR market. To your broader question regarding that overall market, it's disproportionately impacted by China on-road. There is some strength in some of the other markets that we serve. And again, much like the comments that I've provided on the Industrial market, it's been declining for 12 to 18 months at this point. And the expectation would be that it will come back. The seasonality of that business tends to be in that sort of 12 to 24 months time frame.
Operator: And our next question comes from Chris Snyder, UBS.
Christopher Snyder: I wanted to ask on auto, 6% organic but it seems flattish production year-on-year. But let me if you guys see that different. So pretty solid outgrowth, probably one of the better growth quarters we had in the while. Is that just a function of comps? So maybe just kind of talk about why the outgrowth came in better from where it's been?
Jeffrey Cote: Yes. I mean we've talked about the panel growth is a measure that we really should be looking at over a longer period of time rather than in quarter because mix of what our customers actually make matters in terms of what that looks like. Ideally, we would have the exact same amount of revenue per wheel across the globe, but we know that's not possible based upon the relationships, the individual relationships we have. So I would say there are a number of things that we know drive out growth in the automotive business in terms of not only EV penetration, but the found of other applications that we serve as there are many, but I really would encourage folks to look at outgrowth across a longer period of time than a quarter because a lot can change the dynamics in an individual quarter.
Operator: And ladies and gentlemen, this does conclude our question-and-answer session. I'd like to turn the conference back over to the management team for any final remarks.
Jacob Sayer: Thank you, Rocco. I'd like to thank everyone for joining us this morning. We'll be participating in a few investor conferences later during the quarter in Q4. New York Stock Exchange is sponsoring an Industrial Virtual Conference on November 14 that we'll participate in. We'll Also join Alliance Bernstein Industrial Investor Conference down in New York on the 28 of November, Melius Industrial Investor Conference in New York, again, December 7 and Oppenheimer is sponsoring a Technology Investor Virtual Conference on December 14, we'll be presenting. We look forward to seeing you at one of these events or on our fourth quarter earnings call in late January 2024. Thank you for joining us this morning and for your interest in Sensata. Rocco, you can now end the call.
Operator: Thank you. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.